Operator: Good morning everyone. Thank you for joining us for the Interpace Diagnostics Conference Call to review the company's financial results and operations for the third quarter and year-to-date ended September 30, 2017, as well as recent developments. The news release detailing our results was issued and will be available on Interpace's website at https://www.interpacediagnostics.com. Before we get started, during the course of this conference call, the company will make forward-looking statements. We caution you that any statement that is not a statement of historical fact is a forward-looking statement. This includes remarks about the company's financial projections, expectations, plans, beliefs and prospects. These statements are based on judgment and analysis as of the date of the conference call and are subject to numerous important risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. These risks and uncertainties associated with the forward-looking statements made in this conference call are described in the safe harbor statement in today's news release as well as Interpace's public periodic filings with the SEC, including the discussion in the Risk Factors section in our Form 10-K for the year ended December 31, 2016, which was filed with the SEC on March 31, 2017 and the amendment on the Form 10-K/A filed on April 28, 2017, the company's quarterly report on Form 10-Q for the quarter ended March 31, 2017, filed with SEC on May 12, 2017, the company's quarterly report on Form 10-Q for the quarter ended June 30, 2017, filed with the SEC on August 10, 2017, and quarterly report on the Form 10-Q for the quarter ended September 30, 2017, filed with the SEC today. Because of these and other risks, uncertainties and assumptions, undue reliance shouldn't be placed on these forward-looking statements. In addition, these statements speak only as of the date of the press release. And except as maybe required by law, the company undertakes no obligation to revise or update publicly any forward-looking statements for any reason. In addition to the supplement, the GAAP numbers, the company has provided non-GAAP information. The company believes that these non-GAAP numbers provide meaningful supplemental information and are helpful in assessing in historical and future performance. A table reconciling the GAAP information to non-GAAP information is included in the company's earnings release, which is also available on our website. Now I would like to turn the call over to Jack Stover, President and Chief Executive Officer of Interpace Diagnostics.
Jack Stover: Thank you, Paul, and good morning everyone. Thank you for joining us today for a review of our third quarter and year-to-date results for the period ended September 30, 2017. With me today is Early, our Chief Financial Officer. I will begin the call with an update on our progress to-date, we will then review our financial performance following that we will open the call for questions. As I typically do, let me remind you of our overall mission. We are a fully integrated commercial company that provides molecular and diagnostic tests and pathology services to evaluate the risk of cancer by leveraging latest technology in personalized medicine for better informed clinical decisions and improved patient management. As a brief reminder, with the addition of our new lung assay, RespriDX, we now have four commercial diagnostic tests on the market and one product in the clinical evaluation process or CEP. ThyGenX is our next generation sequencing test for cancer risk assessment of thyroid nodules that improves pre-operative diagnostic accuracy by providing physicians with greater confidence to rule in cancer for indeterminate thyroid nodules. ThyraMIR is the first micro microRNA gene expression classifier for additional insight into thyroid nodules biology. When ThyraMIR is used in combination with ThyGenX these two tests allow physicians the ability to more accurately identify and rule out thyroid cancer with a single testing service providing what we believe is a superior solution. PancraGEN is the first and only US commercially available molecular test for evaluation of pancreatic cysts. PancraGEN has the specificity required in a molecular diagnostics test to avoid many unnecessary surgeries. And our fourth test, RespriDX compares the genomic fingerprint of one lung tumor to that of a second-long tumor using a panel of 25 DNA markers with the intent of characterizing a nodule as either metastatic or new primary carcinoma. BarreGEN for Barrett's Esophagus is currently being soft launch with key opinion leaders as we continue to gather data on this assay that will assist us in seeking favorable reimbursement as well as important clinical information. Barrett's Esophagus as you may know is a rapidly growing diagnosis that affects over 3 million people in the US and over time can progress to esophageal cancer. Now back to the third quarter. I'm pleased to announce Interpace performed well on all fronts in the third quarter of 2017. Record net revenues of 4.2 million, 27% increase over the prior year were reported for the quarter putting us on a pro-forma annual net revenue run rate of approximately $17 million. Our net loss for the quarter and year-to-date was a 56% and 51% improvement respectively over the prior-year period even as we have been cautiously rebuilding important resources that we cut back in our cost reduction efforts in early 2016. I'm also pleased to announce that in both third quarter and year-to-date, our test volumes grew for both our GI and Endocrine franchises. This is particularly important considering the hurricane damage seen in several of our key markets including Texas and Florida. Additionally, third quarter net revenues represent the fourth straight sequential quarter of net revenues growth and the first quarter of net revenues in excess of $4 million. I applaud our commercial team for their efforts. You may remember that we announced the addition of the TERT marker of aggressiveness to our thyroid test in July. In Q3, alone over 170 such assays have been processed. And in the month of August, we recorded the most inbound cash we've ever collected in a single month. So, it's been a very good quarter for us. But we also had several important reimbursement announcements in the quarter as well. In August, we announced Oxford Health Coverage of ThyraMIR. In July, we announced sigma's agreement to cover ThyraMIR. And in September, we announced that the AMA has signed a new PLA Code for the reimbursement of ThyraMIR making it easier for us to get paved for our important services. In October, CMS announced that our ThyGenX assay would increase our Medicare reimbursement by 40% beginning January 1, 2018. Approximately 40% of our ThyGenX business is covered by Medicare. We also announced during the quarter the renewal and multi-year expansion of our LabCorp agreement for our thyroid products. When you consider our year-to-date 2017 reimbursement accomplishments including United Healthcare Coverage of ThyraMIR announced in April, our national contract for our thyroid assays with Aetna as well as our recent New York State approval to market our products, we believe we are well positioned to support our future growth plans. Additionally, we are encouraged about the launch of our new lung assay, RespriDX. RespriDX is targeted at identifying metastatic versus primary lung cancer and biopsies and has built importantly on our PathFinder platform that we already use in PancraGEN and other GI products. Importantly, RespriDX is as covered by our local Medicare MAC, Novitas, and most commercial plans. We have hired a dedicated manager who has worked with us on the development of this product and we are pleased with the initial interest in the marketplace. Supporting our clinical results, which for any diagnostics company is critical, we announced two publications that were presented at ACOG in October related to the benefits of PancraGEN and BarreGEN for favorably impacting diagnosing and treating patients. And in October we presented to a packed room our study related to enhancing ThyGenX by adding Loss of Heterozygosity or LOH to our assay. Needless to say, we are excited about the prospects. We also continue to improve our balance sheet and liquidity, as Jim will tell you in more detail. Our cash position at September 30 was 11.7 million and our stockholder's equity was in excess of 36 million. Our cash position more recently as of November 9 was $16.5 million. With that I would like to turn the call over to Jim Early, our CFO to discuss in more detail the financial highlights for the second [ph] quarter and year-to-date. Jim?
Jim Early: Thank you, Jack and good morning, everyone. Today I'd to focus on the key elements in our financial statements. As Jack said, net revenue for the third quarter of 2017 was in excess of 4 million for the first time at $4.2 million, which was a 27% increase over the comparable period of the prior year as well as a 9% increase over the prior quarter. Our net revenue year-to-date was 11.5 million compared to 9.96 million in the prior year, 16% increase. The principal reason for our net revenue growth was our endocrine or thyroid franchise growth in both units and reimbursement improvement. We also experienced unit and net sales growth in our gastrointestinal or pancreas test to a smaller extent. As you may know much of our net revenue like many of our competitors is still accounted for on a cash basis in accordance with current GAAP, while we are developing a track record with payers and further expanding reimbursement. Therefore, as you might realize, as it is well known in the industry, at times it is difficult to project revenues because of the timing differential between accrual and cash accounting. Beginning in 2018, we are required to adopt a new standard from the Financial Accounting Standards Board that is very broad reaching. A new revenue recognition accounting standards also referred to ASC 606, which effectively will require us to report all of our net revenue on an accrual basis. We're currently evaluating the impact of adopting the standard. Our gross profit for the third quarter and year-to-date was 51% and 50% of net revenue as compared to 44% and 51% respectively in the prior-year comparable period. The principal reason really change in gross profit was due to the timing of reagent cost that retards to cost of sales. Sales and marketing costs for the quarter amounted to 1.8 million, an increase of a 0.5 million from the same period of 2016, as we have increased our sales force and expanded marketing activity. Sales and marketing costs year-to-date were 4.5 million as compared to 4.2 million for the same period of the prior year. G&A, general and administrative cost for the quarter amounted to 2.1 million as compared to 2.9 million for the same period of the prior year, due to a reduction in bad debt and legal expenses. G&A cost year-to-date amounted to 6.4 million, a reduction of 1.2 million from the same period of 2016. Our headcount is currently 67 as compared to 61 at year end. While we have no assay impairment charges or changes in fair value of contingent consideration during the third quarter of 2017, we had a net charge of 2.2 million in the comparable quarter of 2016 related to the write-down of two previously acquired assays that we determine had no value to us last year. We incurred a change in the fair value of contingent consideration of 5.8 million during the first quarter of 2017 related to the benefit of terminating the royalty and milestone obligations associated with the extinguishment of acquisition debt with the RedPath equity shareholders. That was in first quarter of 2017. Then as mentioned a net charge of 2.2 million for the assay write-down was taken in third quarter of 2016. Accordingly, our operating loss for the three months ended September 30, 2017 was 3.1 million as compared to 6.5 million for the same period of 2016 due to principally to the net assay impairment reported in 2016. The operating loss year-to-date was 3.0 million as compared to 7.5 million for the third quarter of the prior year for the reasons noted above. Our net loss for the six months ended September 30, 2017 was 7.2 million as compared to 14.6 million year-to-date for the prior year. Included in our net loss for the year-to-date in 2017 was a 4.3 million charge related to the extinguishment of our long-term debt as well as the 2.2 million assay write-down. In an effort to demonstrate to you how management and our board of directors evaluates the company's performance, we reconcile and present loss from continuing operations to adjusted earnings or loss before interest, taxes, depreciation and amortization in short EBITDA. Accordingly, our adjusted EBITDA for the quarter ended September 30, 2017 was negative 1.9 million as compared to negative 3.2 million for the third quarter of 2016. Our adjusted EBITDA for the nine-month period ended September 30, 2017 as compared to the same period of 2016 was negative 5.5 million as compared to negative 7.4 million last year, due principally to the reduction in the loss from continuing operations in 2017 and improvement in operations. Total assays increased to 50.3 million from 41.8 million at year end. And total liabilities have decreased over $21 million sincere end 2016 with our capital raises, conversions of debt to equity, elimination of contingent consideration and the repayment of obligations and negotiated settlements. In conjunction with these reductions of debt and capital raises, our stockholders' equity rose from 6.5 million at year-end 2016 to 36.4 million at September 30, 2017. Our cash position at the end of the quarter amounted to 11.7 million, up from 0.6 million at year-end 2016 due principally to the net proceeds of our capital raises offset by our cash burn and as Jack previously said, our recent position on November 9 was in excess of 16.5 million. With that let me turn the call back to you Jack.
Jack Stover: Thanks Jim. A couple of additional things for our listeners to consider, we believe we have several potential items that could be value drivers over the near term although obviously we can't guarantee that these will each occur. Number one, the success of our ramping up a reimbursement especially in our thyroid franchise should be recognized in the near term. As I mentioned, our TERT marker of aggressiveness could provide additional growth for us. Number three, we're excited about the interest in adding the Loss Of Heterozygosity or LOH to our thyroid assay, a new evaluation if you will in terms of improvement of that assay. We also expanded our sales force especially to take advantage of our approval of New York state of our thyroid assays. We expanded our PancraGEN assay to focus on a related addressable market of solid lesions of the pancreas and bile duct as well as migrating PancraGEN to next gen sequencing for possible cost reductions and reimbursement improvement and we're in the process of doing that. We are looking forward to further expanding our very important exclusive relationship with LabCorp around our thyroid essays. And lastly, we are focusing on a strategic partnership of our BarreGEN product to accelerate this potentially large market opportunity although we have nothing to report as of yet. I will now turn the call back to the operator for Q&A.
Operator: [Operator Instructions] And we'll take a question from Yi Chen from H.C. Wainwright.
Yi Chen: My first question is, which test among your offerings do you expect to see the faster growth in the fourth quarters?
Jack Stover: I think depending on how you calculate growth, but I think the greatest dollar growth we'll see will likely be in the thyroid assay and the principal reason for that is, that's the assay that we really have the best reimbursement in and that's also as we look at the growth in the last several quarters that certainly has been the product that's grown the quick. I think we'll continue to grow in that space.
Yi Chen: My second question is, how long is the current reimbursement cycle, and once you start a crew accounting in 2018, how much of an impact due you expect on topline revenue and is there any change for gross margin.
Jack Stover: We're still in the process of making that evaluation. So, we really don't have any specifics in terms of timing. If you look at reimbursement and break it into basically private versus Medicare reimbursement, the timeframes for those are very different. And in fact, across our products, the timeframe for reimbursement is different across product line. So, it's difficult - just like it's difficult for us to project revenue in terms of providing additional guidance as to where revenue will be. All that being said, our plan is that we will have a kind of an opening equity adjustment as a result of this change in accounting and then prospectively be reporting all of our revenue beginning January 1 on an accrual basis. All I can say is that based upon what we've seen to-date that you know there will be a positive impact, we just don't know the positive impact and of course without having finished it we can't even in fact confirm that it is a positive impact at this time.
Yi Chen: Last question is, do you expect to add additional reps to the sales team within the next 12 months.
Jack Stover: The answer to that is yes. Typically, what we've added has been around 20% rep increase on an annual basis. And based upon the success we had this year, we'll likely do that in 2018 as well.
Operator: Our next question comes from Dr. Pierre Goovaerts of BioMedwaregroup.
Pierre Goovaerts: I have three questions for you, the first one, as you have mentioned in the past, success of the company is heavily dependent on intellectual property and particularly obtaining and enforcing patents. And so, in April 2017, you receive actually a letter from Rosetta Genomics stating that for that Rosetta expected to shortly be granted patent that would cover ThyraMIR gene expression classifier. Could you provide an update regarding this procedure? And in general, are you currently involved in any litigation related to intellectual property.
Jack Stover: Let me answer the second question first, and the answer is that no, we're not involved in any litigation related intellectual property, I don't think so. Second of all, as it relates to the letter that we've disclosed from Rosetta, we have considered that very carefully. We have been in discussions with Rosetta. As you know in this space, intellectual property is not necessarily or always driven by patents and patent protection. Our attorneys feel very comfortable, our patent attorneys feel very comfortable that we have a freedom to operate with or without the Rosetta patent. And as we look at expansion, I think most of our protection as with other molecular diagnostic companies come from knowhow algorithm protection et cetera. And again, it's good to have patents, but the patents and the ability to work around those patents by other companies make them only part of the intellectual property horizon so to speak.
Pierre Goovaerts: My second question relates to BarreGEN, which has been introduced as a potential game changer both in term of molecular testing but also the substantial source of revenue for the company given the billion dollar market. Do you have any concern regarding similar tests being currently deployed by competitors and what would be the advantage of your test regarding what is available or close to be available on the market? I know for example the NeoSITE [indiscernible] FISH Panel, and I know the sensitivity and the specificity is lower than BarreGEN. But in general, I know that BarreGEN would be, you know, it's again a potential game changer but what about the competition.
Jack Stover: I guess a couple of comments or remarks on that. First of all, we believe as you mentioned it's a very significant market size. We believe that there is plenty of room in that market opportunity for a variety of different tests or assays along the continuum of evaluation. As we look it, we're certainly aware of the competitors emerging, the fact of the matter is that there aren't a lot of competitors in the market today that are really gaining market share or being able to kind of transition the Barrett's Esophagus business, but certainly it's key to us. And you're right. If you take a look at the clinical results of BarreGEN, they look very good, but remember it's a relatively small sampling that we did or a relatively small clinical study less than 70 patients, mostly because of the difficulty in garnering samples. So, we need to expand that test in a future and that's one of the reasons why we're seeking other partners, especially other device partners they can work in conjunction with us in the Barrett's space. All that being said, and we've said this before, the big market opportunity is likely in screening. We also see smaller opportunities that we can take advantage of in the Barrett's space other than screening that are very much in concert with the other assays that we do.
Pierre Goovaerts: And then my last quick is, as a private retail investor, I think our own more than 1% of the company or the shares, concern of course is the share price and I've been investing in the company since March 2017 and I have been hit by repeated dilutions from public offerings and warrants. And some point I was down rated more than one hundred grands and I was finally breaking even early October when new warrants were issued, and old ones were dumped, and the share price basically dropped from $1.7 to $1.1, which is very frustrating for a long-term investor like me. Because you still want to see some short-term gains. And so, because of that, [indiscernible] to be a stock that basically you sell on and its back, and you just wait for the price to drop back down. So, the stock is heavily sorted, manipulated and has not been able to odd any gains which I think is a big issue if you want to try to attract institutional investors who usually don't invest in penny stocks. How are you playing to remediate the situation? During the shareholder meeting you mentioned that additional funding should only be obtained through warrants, no more public offerings. Do you have anything to say to private investors who are listening and who lost confidence in the stocks, not the company, because I think it's a great company with a great future, but their problem with the stock price.
Jack Stover: Sure, I'd be happy to address that and you're right we did talk a little bit about it at the annual meeting as well in the fourth quarter. But as we look at it, the transition of Interpace from host company PDI, there were a lot of obligations that we had. Interpace basically was a spin-off of stock, mechanics turn out that a lot of the obligations of PDI transitioned to Interpace. The good news about that is that as we've gotten through the third quarter, most of those obligations are behind us that's number one. The other is that and the reason we included this in the release is that, with some of the warrant conversions that we've had, we're sitting with in excess of $16.5 million as of November 9. So really for the first time in the last year and a half, we're in a very comfortable position from a cash point of view. We still have some warrants outstanding, the warrants that are outstanding are a combination of $1.80 and $1.20 or $1.25 warrants that can in fact be exercised bringing in some additional cash to us. But from a cash point of view, for the first time in the last year and a half we're feeling very comfortable about that. In addition to that, it also allows us to rebuild some of our operating activity. As I mentioned, August was our greatest inbound cash month ever at 1.5 million and actually in excess of 1.5 million. All that being said, it doesn't mean that we won't raise money in the future, but I think how we raise money in the future would be very different. Meaning that as we look at an opportunity or a particular transaction [Technical Difficulty]. And as we sit here today that would be a potential situation where we might raise additional capital, but actually with the cash balance we have we may be able to satisfy the product acquisitions with utilizing the cash we have in and the inbound cash that we're seeing from operations. So, in the past I'd say we spend a lot of time worrying and being concerned about having sufficient cash and I think the report here in the third quarter is that for the first time we're quite comfortable with our cash position.
Pierre Goovaerts: Where there any reason you were such in a hurry to exercise the most recent warrants. I mean, you have been mentioning acquisition a few times, so you need money for, you know, are you planning any acquisitions soon, is it why you need to money or is to be able to establish partnerships and you need to be on a strong footage by having all these cash.
Jack Stover: Yeah, we are in a very positive position. We are looking at any potential acquisitions of products. And so, I think one of the reasons that we're seeing those opportunities is that our balance sheet is certainly a lot stronger and we're in a position to be able to execute on a potential acquisition of products. So that's number one. I think from a timing point of view, there's no timing that's really driving that requirement other than the need and the expectation to grow this business as best we can and a comparable fashion. So, another way to say it is that even as a potential $20 million in revenue company that's nice to hear, but we certainly need to grow that revenue base even larger to be substantive and to reach critical mass in the space that we're in. So, we're keenly aware of that.
Pierre Goovaerts: Now I understand that you know you need to spend money to earn money, particularly in this type of business.
Operator: Our next question comes from Jason McCarthy of Maxim Group.
Jason McCarthy: A couple of questions, first one clinical one related to reimbursement. Can you discuss a bit in more detail the changes that CMS, the potential increase in the reimbursement that you could see over the next year and how you expect that to hit the topline. And my clinical question is, you had mentioned that the TERT marker, which I think came in in the first half of '17 that that's going to play or could play a significant role in driving physician adoption or revenues rather for the thyroid test going forward. Can you just discuss a little bit how that marker changes the predictive values in the test and how doctors that have used it so far are looking at it versus other available tests out there?
Jack Stover: Let me answer your first question first, on the reimbursement side, again there's been some relatively broad-based support of changes on reimbursement. The one that I referred to in our announcement was really the ThyGenX with CMS and putting us in a much stronger position in terms of Medicare reimbursement, basically a 40% improvement. If you look at our units and you look at our volume or revenues in ThyGenX, and remember that ThyGenX and ThyraMIR really kind of a combination assay, about 90% of our ThyGenX assays convert to ThyraMIR. But of that ThyGenX assay, basically 40% of that is really Medicare based. So, what you're saying is a pretty substantial change in ThyGenX's potential reimbursement as of January 1. If you look at it from a slightly different way and you look at the combined wholesale price if you will of ThyGenX and ThyraMIR it's in excess of $3,000 and you might look at it as basically a 50-50 split. So, half of that and 40% of that would really be related to the improvement in ThyGenX reimbursement. Also, and this is something that we are not able to determine yet. We certainly have a number of assays in ThyGenX that are not covered and mechanically what we expect to be able to see is that a portion of those now, with basically the new code will be covered under CMS. So, there's new revenue out there as well. We don't know what the expectation of that is yet for 2018; we're certainly working on it. On the TERT issue in terms of a marker of aggressiveness, what's interesting about that is and the way we've evaluated this is that, we believe that TERT is well recognized as a marker of aggressiveness. Being able to build it into our assay and have it well recognized as such without losing any of our positive or negative predictive value, we believe is really important. And what we're seeing is a strong uptick if you will in physician interest because now they recognize that we have TERT. And I think TERT is certainly recognized perhaps as the most understood marker of aggressiveness. And I think it gives physicians kind of a unique insight as to the quality of our assay and driven allows them to kind of drill down if you will beyond TERT into the other components of the ThyGenX and ThyraMIR assay.
Operator: [Operator Instructions] The next question comes from [indiscernible].
Unidentified Analyst: Great quarter, loved seeing the debt free balance sheet and all the numbers going in the right direction. My concern was the Rosetta patents, but I think you answered that. I think hearing that your attorneys are comfortable with the work arounds and no need to purchase them. [indiscernible] price react positively to these types of numbers; I think more analysts will it as these numbers are analyzed here prior to the January effect which I could see from buying coming into stock. But that's I just want to make those comments and great quarter, I think it was outstanding.
Jack Stover: Patrick, thank you and I think the other thing about Interpace is that, it's an awareness issue and I think our awareness is growing. So, I'm certainly encouraged by that as well.
Operator: Our next question comes from David Veitch of Morgan Stanley. Mr. Veitch your line is open, please go ahead. Our next question comes from Suraj Singh of RedChip Companies.
Suraj Singh: I think all my questions were answered. I just have a quick question. How is the market perception on your new lung cancer test? And also, can you discuss the reimbursement for it, does it follow the same model as the thyroid test.
Jack Stover: Yeah, Suraj thanks a good question. Yes, the early market interest seems to be quite encouraging. And so, we have limited marketing going on and sales going on. But the feedback we're getting is very positive. In fact, the reimbursement for the lung assay is in excess of our thyroid assay, our combined thyroid assays and even in excess of our PancraGEN assay as well, it's around $4,000. So, it's, you know, from a revenue opportunity point of view, it's a good product to have in our market potential, especially since we already have general reimbursement from Medicare as well as many commercial carriers. And I should also mention that this lung assay is also in the guidelines, which for us is a very important component of growth in any potential product.
Operator: [Operator Instructions] Once more our question comes from David Veitch from Morgan Stanley.
David Veitch: My question has to do with the topic that you've addressed regarding awareness of the marketplace. Based on your wonderful balance sheet, about half of your market cap is in cash, it would not take that much money for someone to come in and accumulate a substantial position and basically buy you with your money. Is Maxim still your investor banker and could you comment on your relationship with them?
Jack Stover: We work closely with Maxim. They have worked and helped us around a variety of different market situations, not just in terms of raising capital.
David Veitch: Are there any other conferences or investor meetings set up in the near future that we could put in our calendars?
Jack Stover: The answer is yes. Actually, we're working on those right now, so we'll put those on the website here shortly. We've actually been pretty active in terms of investor conferences, but there are more coming up. They come in bunches. I think the last one we did was Dawson James. The other is that we have tended to not broadcast those presentations, but maybe that's something we ought to consider in the future is broadcasting them at the same time.
Operator: It appears there are no further questions at this time, Jack do you have any closing remarks.
Jack Stover: A couple of things that I should mention, obviously we're very pleased with our third quarter and year-to-date results, but we're never satisfied. We're pleased to demonstrate growth in our major GI and endocrine franchises along with rational cost management. The two go together I think very effectively. We're also pleased with our improved balance sheet and liquidity which allows us to explore various options. And we are especially excited about our product launch in lung cancer, RespriDX. One thing to remember and we say this all the time is that we are first and foremost a fully integrated commercial company and we believe this sets us apart from many of our competitors. We hope that many exciting developments over the next few months and look forward to updating you on our progress. And again, thank you all for joining our call today and for your continued support.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.